Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the LightPath Technologies First Quarter Fiscal 2025 Earnings Conference Call. During today’s presentation all parties will be in a listen-only mode. Following the presentation the conference will be opened for questions. This conference is being recorded today, November 7, 2024, and the earnings press release accompanying this conference call was issued after the market closed today. On our call today is LightPath's CEO, Sam Rubin; and CFO, Al Miranda. I'd like to remind you that during the course of this conference call, the company will be making forward-looking statements that are based on current expectations involve various risks and uncertainties as discussed in its periodic SEC filings. Although the company believes that the assumptions underlying these statements are reasonable, any of them can be proven to be inaccurate, and there could be no assurance that the projected results would be realized. In addition, references made by may be made to certain financial measures that are not in accordance with generally accepted accounting principles or GAAP. We refer to these as non-GAAP financial measures. Please refer to our SEC reports in certain of our press releases, which include reconciliations of non-GAAP financial measures and associated disclaimers. Sam will begin today's call with an overview of the business and recent developments for the company. I will then review financial results for the quarter and the full-year. Following our prepared remarks, there will be a formal question-and-answer session. I would now like to turn the conference over to Sam Rubin. Sam, the floor is yours.
Sam Rubin: Thank you, operator. Good afternoon to everyone, and welcome to LightPath Technologies first quarter fiscal 2025 financial results conference call. The first quarter of 2025 demonstrated our continued transformation from a pure component supplier to a system provider, delivering new products, contracts, and ongoing growth driven by these incremental product lines. Just over three years ago, we set on a fresh course with a new strategic direction, taking us from being a pure component supplier to a solutions provider. Since we've laid out three pillars of growth, of which our business is built upon. The first is our proprietary cameras and optics. Second, our solutions for government and defense; and the third on new commercial applications. For those not familiar with our history, I will provide a brief overview. Prior to this shift, LightPath has been for the greater part of 30 years, an optical component provider. What many years ago was a unique technology, molded optics has become now a crowded marketplace going through the classic transformation and commoditization. As a result, LightPath's core business was eroding, unit prices decreasing with them margins and profits. In 2021, we set a course on a new strategic direction, one that leverages some of our key technologies to deliver subsystems and system-level solutions instead of simply just components, which drive higher ASPs and ultimately, gross profit dollars. This transformation has been very successful for us. And in this quarter, we reported that 30% of our revenue came from those activities. This type of revenue was much less significant for us before we began going down this path. Through our investment in differentiated technology, we have positioned ourselves as a leader in the field of infrared optics with an exclusive license from the government to commercialize new materials developed at the Naval Research Lab as well as our partnership with Department of Defense, Defense Logistics Agency with the goal of replacing Germanium in DoD applications. We are not only the go-to partner for anyone looking to phase out Germanium but have also earned ourselves a seat at the table at some of the most important discussions and projects in today's defense world. Four years ago, we could only have dreamed of being in such a position. Naturally, since these are defense programs we're talking about, we're a bit limited in what we can share, but we will try to share as much as possible. Recently, the DoD via Defense Logistics Agency, Strategic Materials has awarded us Phase 2 funding to support the qualification of additional new Black Diamond chalcogenide glass as a substitute to Germanium. Phase 1 was significant success, resulting in new qualification of several new proprietary BlackDiamond materials. These materials are now designed into multiple programs of record and demonstrate significant additional value beyond simply replacing Germanium. In Phase 2, we'll continue working with DLA to qualify additional BlackDiamond glasses to be included in DoD systems. The validation this represents cannot be understated as it directly translates to new defense programs that rely on our glass for which we are the exclusive supplier of record. During the quarter, we also received an initial development contract from a new European defense customer for the use of BlackDiamond glass in optical systems. Additionally, we also received a follow-on order from a European defense customer for infrared assemblies for use in FPV, that is first-person view drone application. These orders are enabled by and are a validation of our recent efforts to obtain a European defense license and build capabilities at our Latvia facility as well as highlight our growing recognition as a trusted supplier within NATO-aligned regions. As a reminder, more than 30% of our sales come from defense, most of those in the U.S. But obtaining the European defense license now opens the door for us to grow our defense business in Europe, too. And those two recent wins are lead indicators to the success of this strategy. We expect to see significant growth coming from this market, European defense market, and some customers, they are potentially turning into 10% customers. In addition to our investment in materials and differentiating technologies, we have also invested in development of our camera technologies. Just over a year ago, we completed the acquisition of Visimid Technologies, integrating their expertise with our proprietary materials to develop advanced thermal cameras and imaging systems. We have now built a portfolio of unique thermal cameras that have created a strong entry point for us in the system-level product and enables us to carve out a market share in a market estimated to be $9 billion of TAM and growing rapidly. Our efforts in the camera business, our first pillar of growth, are focused around LightPath's unique camera solutions. This started with the introduction of MANTIS, an innovative broadband or multispectral infrared camera that is the first of its kind and enabled purely by our unique materials from MRF. MANTIS opened doors with several high-profile customers, establishing our reputation for producing cameras that are not only groundbreaking in design, but also practical for applications in harsh and high-sensitivity environments. And with a price tag of $30,000, we're positioned as industry leaders from a cost-to-performance perspective. This is significant for future growth of the company as selling hundreds of cameras at $30,000 each has a completely different math to our topline growth than selling just the lenses that go into those cameras, which can cost about as little as a cup of coffee, which used to be our business model prior to this transformation. In addition, we recently launched our New Optical Gas Imaging Camera platform to detect fugitive gas emissions for oil and gas industry. The new OGI camera is specialized technology using infrared cameras to detect and visualize gas emitted such as methane in industrial settings. OGI cameras are capable of visualizing gas that are invisible to the naked eye by detecting the infrared energy absorbed or emitted by those gases. The topic is of extreme importance to the oil and gas industry, both in the U.S. and Europe, following new regulations curbing those emissions and imposing high penalties on operators. LightPath's purpose-built OGI camera leverages a non-germanium lens to improve upon current technologies by offering a cost-effective, higher sensitivity and ultimately more effective solution. This OGI technology applies to other sectors as well, where we see the opportunity to launch additional incremental products, leveraging our know-how all without incurring significant development expenses. On the government and defense side of the business, our second pillar, we've seen traction pick up significantly. Similar to the materials technology differentiators that already landed us one program of record, our technology differentiator has landed us the Lockheed Martin Missile program. Under this program, we are developing a new camera system for Lockheed Martin that will be part of a missile system. Due to pressing needs from U.S. Army, the customer, the program is now on a very accelerated timeline. Though it started only a year ago, we have already achieved airworthy qualification of our subsystem and can begin shipping units for flight tests, which the team is currently working on. The Lockheed Martin program is potentially transformative for LightPath. Not only is it exactly the type of business we were targeting in our new strategy, but the size of this opportunity can completely transform us. If Lockheed Martin wins against Raytheon, which they are competing against, we could expect to see revenues of between $50 million to $100 million a year once in full production. Though we are still in development, the progress of this project is so fast that Lockheed and the customer are already looking to start setting up for low-rate initial production next year, which is the last step before full production. For a company our size with $35 million or so in revenue, a contract like this could completely transform us. And although there is a possibility that Lockheed will not win against Raytheon, we know that this technology we developed is so transformative and important that the same customer is already integrating it into at least two additional programs. I'll now turn to our third pillar of growth, which is new commercial applications such as automotive. As those that follow us know, LightPath has been working with several Tier 1 and Tier 2 automotive OEMs to develop and qualify thermal imaging solutions for use in ADAS. As per a new mandate set by the National Highway Traffic Safety Administration by 2029, all new cars should include an emergency braking system that can identify pedestrians in pitch-dark conditions from a certain distance. To achieve that, it appears that thermal imaging is going to be adopted into every new car, which means a significant addressable market opportunity. Ahead of those upcoming catalysts, we begin to strengthen our operational capabilities to support future growth. Subsequent to quarter end, we welcomed Steve Garcia as General Manager of our Orlando manufacturing facility. Steve brings extensive operational experience in high-growth environments, and he will play a vital role in scaling our production processes to meet the increasing demand of our products, particularly for defense and industrial applications. His addition enhances our ability to support large mission-critical programs while maintaining our commitment to quality and innovation. Now I'd like to turn the call over to our CFO, Al Miranda, to talk about our first quarter fiscal financial results. Al, please go ahead.
Albert Miranda: Thank you, Sam. I will keep my review to a very succinct highlight of the financials this quarter. As a reminder, much of the information we're discussing during this call was also included in our press release issued earlier today and will be included in the 10-Q for the period. I encourage you to visit our website to access these documents. Revenue for the first quarter of fiscal 2025 increased 4% to $8.4 million as compared to $8.1 million in the same year-ago quarter. Sales of infrared components were $2.6 million or 31% of the company's consolidated revenue. Revenue from visible components was $3.3 million or 39%. Revenue from assemblies and modules were $1.1 million or 13% and revenue from engineering services was $1.4 million or 17%. Gross profit increased 22% to $2.8 million or 34% of total revenues in the first quarter of 2025 as compared to $2.3 million or 29% of total revenues in the same year-ago quarter. The increase in gross margin as a percentage of revenue was primarily driven by a more favorable product mix weighted towards visible component sales and assemblies and modules, which typically have higher gross margins than infrared components. Operating expenses increased 23% to $3.3 million for the first quarter of fiscal 2025 as compared to approximately $2.7 million in the same year-ago quarter. The increase in operating expenses were primarily due to an increase in legal and consulting fees related to business development initiatives as well as increases in sales and marketing spend to promote new products. Net loss in the first quarter of fiscal 2025 totaled $1.6 million or $0.04 per basic and diluted shares as compared to $1.3 million or $0.04 per basic and diluted share in the same year-ago quarter. The increase in net loss was primarily attributable to higher legal and consulting expenses related to business development initiatives. EBITDA loss, a non-GAAP term for the quarter ended September 30, 2024, was approximately $0.5 million compared to a loss of $0.4 million for the same period of the prior fiscal year. The decrease in EBITDA in the first quarter of fiscal 2025 was primarily attributable to the previously mentioned additional legal and consulting expenses related to business development initiatives. Cash and cash equivalents as of September 30, 2024, totaled $4.3 million as compared to $3.5 million as of June 30, 2024. As of September 30, 2024, total debt stood at $3.9 million and backlog totaled $21 million. In closing, I view our performance in Q1 as a strong indicator of the solid footing and growth trajectory of LightPath. Financial results underscore the progress of our strategic investments with positive impacts on revenue, margin improvements, and steady pipeline. We remain focused on executing this strategy with discipline and delivering value to our shareholders as we scale and grow. With that, I will turn the call back to Sam for some closing remarks.
Sam Rubin: Thank you, everyone, for taking the time today to attend our call. Looking ahead, we will continue to drive the future of imaging as seen through our proprietary BlackDiamond Optics, leveraging our clear advantage and capabilities as compared to legacy germanium-based solutions. We've defined catalysts in the automotive, defense, and camera solutions market. I have never been more confident in our path ahead. As we move into 2025, our team firmly believes that we are well-positioned to continue our transformation and build sustainable value for our shareholders over the long-term. With that, I'll turn the call over to the operator to begin the questions-and-answer session. Operator?
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] First question comes from Jaeson Schmidt with Lake Street. Please go ahead.
Jaeson Schmidt: Hi, guys. Thanks for taking my questions and congrats on the strong results. I want to start with the European market because it sounds like you guys are seeing some pretty significant traction there. Sam, I just want to clarify your comments on some of these customers maybe eclipsing that 10% threshold. Did you provide a timeline on when that could occur?
Sam Rubin: Yes. Good to hear from you, and thanks for the question. I think European defense market unfortunately has timelines similar to the U.S. defense market, maybe sometimes a little bit faster. So when we talk, for example, about large programs, it's pretty much the same cycle as in the U.S. initial development, prototypes, low-rate initial production, and then into production, which can often be two years or so. Most of the times, we report about it when we're already well into the program. So naturally, we don't report about it when we just get an inquiry or start working on it. So I'd say in most cases, it's up to one year from the moment we report about it until we start seeing some real production-level orders. The FPV drone might be the exception there where it is actually something where it is not one of those large defense programs that has to go through enormous qualification. It's actually more of those technologies where armies around the world are trying to move faster and adopt commercial solutions to be able to get them in faster. So the FPV might turn into revenue or is turning into revenue much faster.
Jaeson Schmidt: Okay. Great. And is the sales team and sales channel in that market fully built out? Or do you still need some work there?
Sam Rubin: I'd say we have a pretty strong sales team there. Maybe there are some sales channels where in the defense part in certain countries, we need local partners. So even though EU is the EU and spending within the EU and our defense license covers the entire EU, certain countries want to do more local purchasing or want you to have a local partner. So there could be countries where we'll be signing up distributors could be countries outside EU, such as Turkey and the U.K., where we will need distributors just because of the way things are there.
Jaeson Schmidt: Okay. That makes sense. And last one for me, and I'll jump back in the queue. Any update on how you're thinking about the timeline for the Lockheed decision?
Sam Rubin: No significant changes on our side. I mean, as we said, we received the Airwear requalification, which we're very proud of, and I'm immensely proud of the team in Texas for everything they've done there. We're building flight-worthy units right now. The timeline is fluidic, but we're still hoping to get some indications around the coming September, October timeframe.
Jaeson Schmidt: Perfect. Thanks a lot guys.
Sam Rubin: Thank you.
Operator: Your next question comes from Glenn Mattson with Ladenburg. Please go ahead.
Glenn Mattson: Hi. Thanks for taking the question and congrats on the results. The topline was a little better than I expected. Curious, as it comes to the kind of the camera business, the assemblies, and modules. In my projections, I have kind of a strong back half kind of built on the sales funnel having grown from all these new products and the efforts you're making. Is that still reasonable? Do you still feel like that channel – that funnel is building and that you're seeing a good response from the customer set there?
Sam Rubin: Yes, definitely. I'd say the camera business is one that, for the most part, can move faster into – translate into revenue. A lot of it is from the industrial commercial space, so furnaces and high-temperature process monitoring. So with them, it's more driven by their budget cycles. So we're end of year now, there's some end-of-year spending, but we suspect most of it is going into next year's budgets, which means January to June, we'll be seeing a lot of those orders and deliveries. Even on the defense side of cameras, it is more of a faster cycle than some of the large defense programs with the exception, of course, of the Lockheed project, which is a very, very customized long-term project. Even when we're providing cameras safety drones and so on, the turnaround cycles are very fast. The DoD is making tremendous efforts to adopt commercial technologies or dual-use technologies faster, and we're gaining from that. So we're benefiting from that well.
Glenn Mattson: Great. And maybe I missed it on multiple calls, but in the past, you've mentioned the other defense program that you're working on, I believe it's like a helicopter, Apache maybe helicopter application. Is there an update there that you could share?
Sam Rubin: We're working on the initial prototypes, small delays, but nothing major. So I'd say the team is doing very well there. No, I was going to say no significant update, unfortunately.
Glenn Mattson: Yes. And then I believe in the second quarter in a row, you mentioned two additional programs with Lockheed. Is there any color you can give further in terms of timeline or…
Sam Rubin: So these programs, actually, we don't know that much about them. We don't always know the full details of the programs. But we know with the same groups at Lockheed of Missile and Fire Control. They're earlier stage than the large missile program, and they will not be as high a volume as that. But they're moving along. And we feel confident that Lockheed is really looking at that as the ultimate solution for those programs.
Glenn Mattson: Great. Thank you. And last one for me. I know this is not really a fair question. I know it's been two days, but the politics, there's the new administration is maybe tough on China, maybe a little more friendly with Russia. There the two sources of germanium. Can you just talk about if there are any initial thoughts as to what it all means for you guys?
Sam Rubin: I don't expect that to impact the germanium part as much. I mean Russia is still going to be – I'm assuming, still going to be sanctioned and China is still going to try and use germanium as the leverage in trading. So I don't expect or foresee – we're not planning on any significant changes there. We've already, just as a reminder, proactively significantly reduced our exposure to germanium by canceling a few multimillion-dollar orders 1.5 years ago or so. So we already took actions towards that. I think, if anything, the results of that election might increase some defense spending around the world, and defense now is close to going on going to be 50% of our business at some point. So that's probably good for us.
Glenn Mattson: Great. Okay, thanks, Sam.
Sam Rubin: Thank you.
Operator: Next question comes from Scott Buck with H.C. Wainwright. Please go ahead.
Scott Buck: Hi. Good afternoon, guys. Thanks for taking my questions. I think I saw you reached a qualification milestone with Lockheed in the quarter. Is there a revenue attached to that, that was in the $8.4 million?
Sam Rubin: Not specific to the qualification milestone. We recognized Lockheed revenue throughout the quarter. Did we have that? Sorry, we did have some revenues there. That shows in the Engineering Services Group. Yes. It's in engineering services, Scott.
Scott Buck: It doesn't sound like it was a huge number.
Sam Rubin: It was about $1 million.
Scott Buck: Okay. Great. Appreciate that. And then second, on some of these larger potential wins, and I'm thinking Lockheed specifically, but we can broaden it out. How should we think about the gross margin on those opportunities versus kind of today's consolidated margin?
Sam Rubin: So those are government programs and there's government accounting associated to them. So government dictates the gross margin pretty much as I think it's something like 25%. But the baseline of 25% of what is sort of includes management fees, SG&A, and so on. So it's probably a bit too early to translate it into what it would look like in our gross margins. But my rough guess, Al, somewhere between 30% to 40%.
Albert Miranda: Absolutely, definitely between 30% and 40%.
Scott Buck: Okay. Perfect. Well, that’s it for me guys. I appreciate the time. Thank you.
Albert Miranda: Thank you.
Operator: The next question comes from Brian Kinstlinger with Alliance Global Partners. Please go ahead.
Brian Kinstlinger: Great. Thanks. I got a couple of questions. Did I hear correctly now that you've got multiple cameras, you think adoption begins to pick up and orders begin to pick up about 12 to 18 months from now? Is that how I understood your response to one of those questions?
Sam Rubin: No. I meant that January of this year when on the commercial industrial side, when new budgets of those power plants and utilities and so on come into effect on January 1, we know for a fact that we have quite a few customers that have budgeted our cameras into their next year, meaning calendar 2025. So we expect over the next seven to eight months to start seeing a pickup in that.
Brian Kinstlinger: Is there any way to quantify what that – I mean, is that 10% of revenue, do you think 20% of revenue? I mean how do you think given those ticket sizes? Is there any way to quantify it?
Sam Rubin: Yes. I'd say – look, if we look at the product groups of assemblies and engineering services sort of bundled together, that has gone up to about 30% of our revenue in this quarter. I could definitely see that going up to – as much as 50% over the next few quarters. This is our future and where the growth is coming from by far.
Brian Kinstlinger: And maybe I'm drawing a blank, maybe it was answered last quarter, so I apologize. That large customer that has gone away for you for now, are they still evaluating BlackDiamond materials? And if so, is there a reasonable timeframe to expect adoption? Sorry, if I forget to answer that.
Sam Rubin: No, you're absolutely right. We haven't spoken about it in a while. Actually, I was at that customer a couple of weeks ago and working out a plan with them on both getting BlackDiamond into their systems to replace germanium. They have not yet done that as well as a few other long-term strategic things we're working on together. So I'm very hopeful that, that customer is going to come back, and we're going to win them back. And it's a very significant potential. As a reminder that customer use to be anywhere between $4 million to $6 million a year for us.
Brian Kinstlinger: But from your comments, you're not quite that confident yet. You're still working on trying to get that done.
Sam Rubin: There's quite a bit that needs to be done on their side as well. We're working closely together. And I think for us, that's the most important part that it's a very collaborative effort.
Brian Kinstlinger: And then how long do you expect Phase 2 of the testing? I think it's with DLA. How long do you see that lasting? And then is the next phase moving into production?
Sam Rubin: Well, production starts every time we qualify our material. So BDNL4 was qualified and is in production. BDNL6 and 8, we actually have not announced them as qualified formally. But realistically, they are already embedded in a couple of programs of record. We just haven't done that to in an official manner. But from DLA's point of view, that qualification has finished. The next six glasses DLA is paying for the qualification. The project is defined to be up to 24 months. But we suspect it could be sooner than that.
Brian Kinstlinger: Okay. Now backlog is relatively flat year-over-year. However, I get the sense from you and Al's comments that you're confident that you're going to begin to grow revenue a little faster. Is that because some of these orders don't flow through backlog, so we'll never really see them in backlog? Just reconcile the flat backlog with the accelerated pace of growth, please.
Sam Rubin: Yes, definitely. So you're absolutely right. A lot of the camera business is what we'd call book and turn. We have subassemblies of them ready. We have modules, and we can turn a camera around and ship it within two to three weeks. And with unit prices of $10,000 to $30,000 for the cameras that can be pretty significant in some of the book and turn. In addition, I want to just remind, we're looking at the backlog is flat year-over-year. Up until about a year ago, we had our sports gun site companies, the same one we mentioned in the backlog, right about every November, they would come in with a renewal that was between $4 million to $6 million. So we're “flat” without what used to be a $4 million to $6 million customer. So it is actually a growth of all the other businesses outside that customer.
Brian Kinstlinger: Can you remind me when that customer last made that order so we can kind of take a look from that.
Sam Rubin: It’s about a year-ago. I think about a year ago is when we – about a year-ago, we canceled and did not renew it. So the order fell off about a year ago.
Brian Kinstlinger: So the flat backlog doesn't reflect either side probably of that order.
Sam Rubin: There was probably $1.5 billion left in there.
Brian Kinstlinger: The previous orders got it. My last question is as you look at the backlog, two questions for that, which is the non-basic camera business. How much of that generally gets recognized in 12 months? And the second part of the question is, how do you see the mix of products in terms of margin profile or product? Can you kind of give us any direction on that?
Albert Miranda: So, most of the backlog ages out in 12 to 15 month timeframes. We don't have a lot, Brian, that goes past 15 months on the backlog.
Brian Kinstlinger: Great. And in terms of the mix, maybe my last question?
Albert Miranda: The mix is more heavily weighted towards sort of the visible components and some of the visible infrared components, the component business, and some of the simple assemblies like doublets. For the bigger things like Sam is talking about the cameras, we will get at best a three-month order.
Brian Kinstlinger: Great. Thanks so much, guys.
Operator: Your next question comes from Orin Hirschman with AIGH Investment Partners. Please go ahead.
Orin Hirschman: Hi. Congratulations on the progress. I just want to hear more about the go-to-market for the industrial cameras and the timing and if you've seen any early traction even if they're not huge dollars, but multiple orders?
Sam Rubin: Yes, definitely. So the go-to-market strategy has changed or evolved roughly half a year ago when we were joined, we have Jason Messerschmidt that came from FLIR. Jason was in charge of all North American sales at FLIR, a few hundreds of millions of dollars. It's a very heavy weight in the world of cameras, and has really developed a go-to-market strategy and team here. That included recruiting a couple of people to that both from FLIR and from other industrial applications, people that live and breathe that oil and gas – and sorry, no pun intended about breathing the oil and gas, but they know that world inside out. In fact, actually, we just finished today a one-day session on the go-to-market strategy for the next few weeks. Traction because of that is much faster than what we're used to, meaning when we announce a product like the methane detection cameras that we announced three weeks ago, that is already after Jason Messerschmidt and Rich and Chris and the go-to-market team that focuses on that segment have already been at customer sites testing and validating it. So most of the time, by the time we announce a new product in the oil and gas, it has already some customers behind it. Now from there going and scaling it up is much easier because most of those times, those customers are distributors or integrators that then cover a specific geography or area. So for example, the first furnace cameras that we shipped out were to an integrator in the Southeast that we know has already quite a number of orders coming right as soon as their customers' capital budget goes into effect on January 1. So I think this is something we're very positive on. We're able to move into large chunks of revenue much faster when it comes to those cameras once we've already validated them at a customer.
Orin Hirschman: Great. Thanks so much.
Sam Rubin: Thank you.
Operator: Next question comes from Gene Inger with ingerletter.com. Please go ahead.
Gene Inger: Hi, Sam and Al, keeping up the good work. And of course, we're all looking forward to what happens with Lockheed in the next year or so. May I ask you guys, I don't know if you can say specifically if you're involved with the sustainment $200 million contract for Project Longbow, but you probably know what that is related to the Apache or AH-64. But that's also with Northrop Grumman, not Lockheed. Does that involve you guys?
Sam Rubin: Yes. Well, first of all, a lot of those programs, the Apache modernization being one of them, there is one lead prime, but then could be multiple other subprimes. So I can't comment specifically on this prime or that prime. But I would say that every time there's a project that talks about modernization of an existing platform like Apache in this example, you can assume that a big part of the modernization is bringing the electro-optic systems up to speed. And actually, if you look at the DoD budget, the modernization of the Apache actually has a line item there that talks about the electro-optic system. So I'd leave it at that.
Gene Inger: Well, I know also Poland is buying 70 of them, and the Netherlands has been okay to have this new fire control target acquisition radar system. So I was wondering if that provides incremental additional business for you guys, I hope that it does. And whether it does for Latvia or would this be just Orlando-made materials?
Sam Rubin: Okay. So two parts to that. First of all, it will, but it will in the long-term. The way it works with those programs is that the foreign sales, the foreign customers get any upgrade like this well after the U.S. So if we are working on such a program, I would say we would be providing it for at least five years to the U.S. helicopters before it made its way to any of the foreign customers as friendly as they are.
Gene Inger: The reason without time to be nosy, I had. I’m sorry I interrupted you. You are not finished. I’m sorry.
Sam Rubin: No, please. Go ahead.
Gene Inger: Okay. I brought up helicopters, I'm concerned that as we go into laser warfare and especially intercepting drones, that's going to become increasingly something that companies are looking at, although I don't know, you might know the answer, how they can move lasers because the drones and incoming missiles these days can be maneuvered and typically, a laser shoots in a straight line. But with that said, a helicopter is not a really great platform in terms of it has vulnerability. So I'm wondering whether your lenses and your glass can be coated, for example, in some way that it will deflect or reflect laser and provide a countermeasure in and of itself to laser beams.
Sam Rubin: Well, I can't comment on a specific technology like that. I would say if our lenses or anything would deflect the laser, they would also deflect other parts of the light spectrum and therefore, making that helicopter actually more visible than the customer or user would wish for it to be. So I'm not sure if that specifically would happen. But I just want to circle back to the second half of your previous question regarding Latvia. Specifically, if we provide – if we would to provide any systems that then go into Apache that then get upgraded to Europe, they would still go through the U.S. It would always be built in the U.S. and shipped out to the customers. That does not play a role in this.
Gene Inger: Apologies, if I got two details. And my final question would be regarding space, which you haven't mentioned. I've also been seeing that there are new developments which are focused on collision avoidance of debris or satellites or defensive measures if one of our satellites is being targeted such as an effort to disrupt communications. You have acknowledged that you're involved in space communications, whether it's Starlink or somebody else. And I'm wondering whether the new approach of basically LiDAR in space to give proximity and manage space better, let's just call it management has involved you guys.
Sam Rubin: I'm not aware of us being directly involved in that, but it's very possible that through one of our LiDAR customers, we are. We work with multiple different companies that work on LiDAR, automotive, and other LiDARs. So we might be indirectly involved in it, but I'm not familiar with that.
Gene Inger: Anyway, I look forward to hopefully a successful year. Sam, you and Al, you've done a tremendous job of changing around necessarily the direction of the company, and I welcome that.
Sam Rubin: Thank you, Gene.
Albert Miranda: Thank you, Gene.
Gene Inger: Thank you.
Operator: There are no further questions. Please continue.
Albert Miranda: Thank you, operator, and thank you again to each of you for joining us on today's earnings conference call. We look forward to continuing to update you on our progress and great results, and we strive to deliver value to our valued shareholders. Thank you, and goodbye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.